Operator: Good day, ladies and gentlemen. Welcome to the NXT Energy Solutions Conference Call. I would like to introduce George Liszicasz. Please go ahead.
George Liszicasz: Thank you very much. And hello, thank you for joining today’s investor’s conference call hosted by NXT Energy Solutions. My name is George Liszicasz, President and CEO and with me today on this call is Greg Leavens, our Chief Financial Officer and Sajed Sayeed, who recently joined NXT as Director of Global Business Development. Andy Steedman, our VP Operations is currently on a business trip in Southeast Asia. The purpose of today’s call is to briefly discuss our recent Q3 interim period and give an update on the developments which have occurred since the prior NXT conference call we held on August 28. Please note that this conference call contains forward-looking information for which we note the standard disclaimer that such information is by its nature uncertain and therefore future results may vary from expectations. The outline for today’s conference call will be, is that we will discuss the Q3 results and then I will provide you with an operational update on the countries. We believe that new contact opportunities are well addressed. Also we will update you on staffing and also on patent filing status. Our MD&A and financial statements for Q3 have now been filed on SEDAR in Canada and on EDGAR in the USA. All totals noted today are in Canadian dollars unless otherwise noted. Our cash and short-term investment position was C$6.6 million at the end of Q3. This strong financial position allows us to continue to pursue several high impact survey contract opportunities, which we will discuss. To give you a very high level summary we do not recognize any revenues in Q3, we did not recognize any revenues in Q3 and the nine months year-to-date revenue total was C$3.9 million. Our standard G&A overheads are running roughly C$1 million per quarter. NXT had a net loss of C$1.3 million for Q3 and on a nine months year-to-date basis we’re essentially breakeven with a year-to-date net loss of C$31,000. As we discussed in our MD&A for Q3 we have been pursuing new survey opportunities in three major regions, each of which may have the potential to yield sizeable future contract for NXT. These three areas which we will discuss in detail are Bolivia, Pakistan, Southeast Asia, and of course Mexico. Bolivia, in recent months we had extensive discussions with NOC, which is the National Oil Company of Bolivia, called YPFB to conduct SFD surveys in 2015. This has been a long process which evolved in depth technical discussions with key geo-scientists and three subsidiary companies in which YPFB holds large interest: YPFB-Andina, a partnership with Spain’s Repsol; YPFB-Petroandina, a partnership with Venezuela’s PDVSA; and YPFB Chaco where Petrobras is a minority partner. And the added benefit to this process is the exposure of SFD to these new multiple client prospects. I am pleased to report that we have advanced to the project approval stage which is anticipated to occur before the end of January. With respect to Pakistan and Southeast Asia region, I would state that after the delivery of our first survey project in Pakistan in Q1, 2013 we subsequently had a joint technical paper issued by our customer, Pakistan Petroleum Limited or PPL and this paper was presented at the industry conference in Pakistan in late 2013, highlighted the results of our SFD survey. This exposure has been leading to ongoing new interest in SFD in the region with large new international client prospects and other companies operating in the region. Pakistan has recently been undertaking new amendments to its petroleum policy, including the recognition of remote sensing or airborne survey technologies such as SFD in the categories which would be eligible to meet spending commitments on exploration block license. These amendments were initiated by NXT and it is now finally close to approval. The last policy amendment was many decades ago. Numerous companies have indicated to use these amendments to advance towards defining block areas over which SFD surveys could be formally designed and quoted. Andy Steedman and his team are currently in Pakistan discussing proposed SFD projects. We anticipate that the first survey commitment could be formalized before the end of Q1. Any new survey projects need to meet various levels of government approvals in which we have past experience in meeting. Regarding Mexico, and opportunities with PEMEX which is the national oil company of Mexico; many of you are familiar with the status of that market and the status of the monumental energy reforms process which have been underway in Mexico for almost a year now. We know the following; in 2014 PEMEX has been addressing how to deal with the initial submissions to the regulators under their ongoing Round Zero process and where to prioritize their short and long-term exploration efforts. Second, the initial Round Zero process was completed in August and PEMEX retained roughly 31% of their production and exploration acreage. The objective was that these producing blocks will carry PEMEX to the next level, will maintain production around 2.5 million barrels per day and will allow Mexico to start up Round One that will ensure a continued growth of production and market share. Well this is now in jeopardy since production has declined to 2.2 million barrels a day. Mexico’s energy regulators are currently finalizing the frameworks to be used in the initial Round One package that will be offered for bid by the international CMP industry starting in early 2015. PEMEX has also been extremely active in undertaking farm-out opportunities on its existing [lands in] [ph] production and announcing major joint venture initiatives with large international E&P and NOCs. On November 20th PEMEX has announced the result of a comprehensive internal restructuring of its exploration and production units. This follows a major reconstructing of the composition of the PEMEX Board of Directors earlier this year. The next step that NXT and other companies are waiting for is the appointment of the new management group. Throughout late 2013 and 2014 NXT has been actively seeking ways to advance new business with PEMEX. We are cautiously optimistic that certainty as to the ultimate business structure and focus of PEMEX is finally nearing completion. NXT is now in a firmer position to refocus on pursuing meetings and discussions with PEMEX regarding advancing new SFD survey opportunities for 2015 and beyond. We were meeting with PEMEX as recently as last week. At the request of PEMEX NXT also met with CNH, the National Hydrocarbon Commission of Mexico in early October to give a tactical presentation on the benefits of using the SFD technology in exploration activities in Mexico and to assess how it might apply to spending commitments that CNH may potentially administer in the future. We also note that starting with the upcoming Round One bid process in 2015 many new international E&P players will be entering the Mexico market. This should serve to expose SFD to a broader potential customer base that are looking for technologies to aid in reducing exploration risk, especially in highly expensive offshore areas. Now let's talk about oil prices for a moment and how they affect a geophysical company like ours. When producers get a steady $100 per barrels they can become comfortable quickly. There is a lot of money to spread around. At the moment oil is under $70 a barrel. And if you are an international E&P company you are at a disadvantage with respect to NOCs. You need to react fast to make significant decisions. One option is to cut your exploration budget significantly, which was done all across the board, Shell, Tullow and so on. And you have to look for innovative technologies such as SFD to focus your exploration activities only on areas that are conducive to fluid entrapment. The other alternative, if they have no production on the block is to start abandoning concession blocks. For NOCs the picture is different. NOCs control 90% of their lands -- of the lands in their respective countries. So why is it different? The reason is that securing domestic oil supplies is a matter of national security. Low oil prices force them to maintain and even increase revenues by finding and pumping more oil and gas. By utilizing SFD NOCs can knock off years off their exploration timeframe and maintain and expand revenues. Using SFD presents an ideal solution to continue their exploration program. That is the reason why our primary focus is to develop PEMEX, PPL or Pakistan Channel, YPFB or Bolivia in general into repeat and ongoing survey customers. SFD offers the best solution to hunt for olefin [ph] fields and that is rapidly and cost effectively. Even if oil prices fall further producers need to take a long-term view on replacing reserves. In summary the lead editorial in this past weekend was the journal entitled The New Oil Order and lower prices, will disciplined American drillers to focus their investment on the most promising areas and innovate further to reduce cost. In addition to showcase and promote the benefits of the SFD surveys to a broad range of new client prospects we have been promoting SFD at several E&P industry focused conferences. We participated and presenting at the Second Annual Latin America Oil and Gas Summit in Houston in early September focusing on NXT's experience with PEMEX’s utilization of SFD in the Gulf of Mexico and you can download that presentation from our website, or you are welcome rather to download. We attended the World National Oil Companies Congress hosted by PEMEX in Cancun, Mexico in late September. We also presented at the Next Generation Oil and Gas Summit Africa in Pretoria, South Africa on November 18th to 20th. Africa's frontier areas are ideal growth market for SFD and this NGO conference gave us new exposure to several international E&P companies with African exploration prospects. NXT just last week also attended the Pakistan Annual Technical Conference in Islamabad, which gave us the opportunity to personally follow-up with existing clients and numerous new client prospects, which have been having discussions with in the recent month. The recognition of revenues in the short-term will depend on multiple factors, including successful negotiation of the terms of new survey projects and obtaining regulatory permits, importation and other approvals. This process is generally quicker for surveys we may conduct in North America and Mexico. As we indicated earlier in 2014 requests for formal quotes for SFD survey projects have been at their highest levels ever. While the timeframe from initial interest to contract discussions can be very long and unpredictable recent developments in the three focused area which was Bolivia, Pakistan and Mexico, we have discussed with have been encouraging. On our prior conference call we noted the importance of enhancing our sales and marketing staff resources to advance NXT’s capabilities to build new client base. We are pleased to report that in October Mr. Sajid Saeed joined the NXT team to lead our Global Business Development initiatives. Sajid has solid big company business development and logistics supply chain experience and we look forward to his fresh insight and plans for broad successful market of SFD. You are welcome to ask Sajid about his thoughts on the company and his marketing and sales strategies. NXT is also pleased to advise that it has recently completed a new patent application filing in the USA and has commenced expanding this to select strategic international markets. These patent filings are intended to expand and enhance protection of our portfolio of intellectual property as well as allow us to broaden our disclosure to the exploration industry of the science underlying our proprietary SFD survey system. A separate initiative we have underway is researching ways to monetize our existing library of proprietary SFD data. The objective is to create a vertically integrated exploration entity called, The Vertical [ph], which utilizes the right combination of external funding and independent and experience exploration management team and a high value dataset of existing SFD identified prospects. NXT has engaged a team of external advisors who are in the process of evaluating a number of SFD recommended leads. Once the evaluation is completed the team will generate a report to determine if the vertical concept driven by SFD is valid and financeable. The evaluation process has been underway since September and NXT expects a decision in January. Our long-term objective is to receive an equity and royalty interest in the vertical, establish a new long-term client and yield the maximum return to NXT shareholders without dilution. We plan to release our audited results for Q4 fiscal year end December 31, 2014 in late April 2015 which will be when we will host our next update call and I’ll say hopefully much sooner, based on the ongoing contract developments. In closing, I would like to say that we have the best investor base in the world and they deserve from us to deliver the best. Our long-term objective is to establish a sustainable revenue stream or sustainable revenue streams now, with significant growth potential. Thank you for your interest and support and with that we are now open to answer a few questions. Operator I turn it over to you to start the Q&A session.
Operator: Thank you. [Operator Instructions]. We have in our question queue our first questioner and that is Stan Trilling from Credit Suisse. Please go ahead.
Stan Trilling: Hi, thank you for the call. I have a question for Sajed. Basically I have two questions. First question is what was it that you found so attractive that made you want to come to work at NSF -- NXT, sorry?
Sajed Sayeed: All right. Thank you for the question, Stan. It’s a very interesting question but to put in a nutshell I have a lot of corporate experience and I was actually interviewing with Intel for a Senior Management position when I was also in discussion with George regarding NXT and the potential of SFD in the marketplace. My decision was pretty easy because I saw a very great potential of this technology and what can happen in the future and I had an option where I could actually bring in my talent and my know-how to NXT and enhance the process over here, which will make a significant impact and thereby on a personal level it will help me achieve something much more than what I can in a typical corporate environment. I like the management style over here; I love the product and the service offering. I think we have a very unique value proposition that nobody else can make in the market and we are poised and positioned very strongly to go ahead and implement a strategy and market it. So given all these criterias which are very attractive for someone like me who comes from a business development marketing background, I can really put it to good use. So the decision was pretty easy to move to NXT.
Stan Trilling : Thank you. My second question was with all of these wonderful things you saw at NXT, can you tell us what are some of the short-term strategic steps you are going to take to make George and me rich people?
Sajed Sayeed: Probably point number one when George hired me actually, how are you going to make us rich. Well the plan is very simple. The methods that I am going to use are proven methods. But to be honest again to put it briefly I am going to have a -- we are just two months still in NXT but in the process of developing a strong strategy and dividing the market into different segments. Each segment seems to have a very unique niche where we can tailor a value proposition to address that particular segment. And once we have these strategies nailed down all we have to do is implement it by picking up the calls, making calls and speaking to these customers. And we do have a good team over here. We plan to get more as we go forward and we get some traction once we implement the strategies. I think the more we speak about SFD and what its capabilities are it will be excellent. I had -- I was fortunate I had an opportunity to go to the conference in Africa and we spent three days there, and gave the presentation of SFD and NXT capabilities. It was received very, very well, we had a lot of interest, lot of people have been contacting us and we are going back and forth in communication. Looking at that impact and the value prop that we can bring to the market is very encouraging for me to develop the strategy and put it on the ground as soon as possible.
Stan Trilling: Thank you, Sajed. One last question and I will turn it over. When will you be able to give us some specifics on the strategies by segment?
Sajed Sayeed: I am still working on it right now, Stan. I wouldn’t be able to put a date but I am aiming to have it by the end of this year completed and approved by George and his team before I can actually implement it.
Stan Trilling: Can I hold your [Inaudible] fire on that?
Sajed Sayeed: Please do.
Stan Trilling: Okay, I will. Thank you.
Operator: Thank you. Our next question is from John Sullivan, JS Capital [ph]. Please go ahead.
Unidentified Analyst: Thank you, and it must be very frustrating, George, for you to experience these delays in Mexico and other national companies. You probably should have anticipated that it would not go as smoothly as you thought. Hopefully eventually it will go but it might be a long time. In the meantime while you've got cash why don’t you buy back some company stock since the -- you are not, you’re probably not going anywhere with the stock since you've got very little going on the immediate horizon and the stock flounders around a little over a dollar? Seems to me you could, with the cash that you've got you could buy some stock back.
George Liszicasz: Thank you, John. It has been proposed in the past, a buyback opportunity for NXT. We would like to build a company that is, we believe now we have reached a point, a stage that it’s going to perform and is going to perform very strongly in the very near future. You know how conference calls are. You're restricted to say what you really truly think and know and so on and so forth. So if you give me just couple of months and if we don't perform you can come back and say George, this is John and I would like you to consider my proposal. So if that would give you an answer, satisfactory answer that will be good. Because I believe that we have reached a point of serious contract opportunities are going to be realized in this company. 
Unidentified Analyst: Well, thank you George. I'll put my stock in the closet and lock the door for three months, how is that, all right?
George Liszicasz: Excellent, excellent. And hopefully we are going to be discussing that in the next conference call shortly. 
Unidentified Analyst: Okay, thank you. 
George Liszicasz: Thank you so much. 
Operator: Thank you. [Operator Instructions]. Our next question is from David Hutches, CGG [ph]. Please go ahead. 
Unidentified Analyst:  Good morning. I’m wondering do you ever exhibit or attend any of the geophysical, the large geophysical conferences like the SCG. 
George Liszicasz: Yeah, of course we do attend SCG conferences and we are also planning to produce papers and we are producing a paper right now that will be presented at the next SCG conference and with Prof. Budiman and Dr. Seangoi [ph] and myself we are going to present the SFD technology and talk about it and we just -- we were just in Islamabad at the conference, the ATC conference and we are presenting at many conferences as we can. Actually we got the best presentation award, was it like that, just now in Pretoria in Africa. So we presented there as well. And so we are very pleased with our progress. In Houston and Scotland we're going to be presenting there as well. So it’s an ongoing and continuous process. 
Unidentified Analyst:  Okay. Now I'm sure I haven’t seen you at SCG, I've been looking for you, like I have been there most recently. 
George Liszicasz: Yeah, we didn't go there most recently. It was a problem with -- we are a small company. So I just give you a very quick run-down, one-third of the company went to Pretoria, the other third went to Pakistan the other third went to South America. So we were just scattered all over the world and we can only do as many conferences as possible.
Operator: Does that answer your question Mr. Hutches?
Unidentified Analyst:  Well, I don't know about the future. I've never seen SFD at a geophysical conference, so I'll wait for the next one. 
George Liszicasz: Okay. Actually we can talk about if you give me a call we can discuss this further. 
Unidentified Analyst:  Okay. 
George Liszicasz: Thanks. 
Operator: Thank you. Our next question is from Raveel Afzaal from Mackie Research Capital. Please go ahead. 
Raveel Afzaal : Yes, thank you for hosting the call gentlemen. My question relates to the development on the vertical. It seems like you are guys are moving very quickly on this and could you tell me some of the key milestones that will need to be hit by January or February of next year in order for this project to get green light, what are the key drivers?
Greg Leavens: Hi, Raveel it’s Greg talking. 
Raveel Afzaal : Hi, Greg.
Greg Leavens: I guess what we are in process of doing right now is where we have existing SFD data we are currently gathering any other geophysical data which we can, whether that is well data, seismic lines that are publically available et cetera to help to correlate and evaluate where we have identified existing anomalies. That process of gathering the information takes some time of course but we expect it for the first group of anomalies we are looking at, they should have the bulk of that work done in the next month. The team that we have got engaged, we have a broad skillset that we have got a geophysicist, a geologist as a well as the guy with background in reservoir engineering. So that’s a good broad mix to help evaluate these prospects and anomalies from different views and skillsets experience. So that is well underway. As part of the process we are also going to be evaluating a budget of how much funding may be needed for an initial sort of seed round to get the first vertical off the ground. This part will involve negotiating to acquire some land positions, whether those are direct acquisitions or by way of farm-ins et cetera. So I expect, as George was saying earlier, by the end of January we should have a very good idea on whether this initial vertical is viable and how much financing it will need in the short-term.
George Liszicasz: The good part of it is, if I may inject, is that this team is requesting all this material and all the seismic, all the well data and they are doing the evaluation and they have to come back to NXT and make recommendations on whether or not it is a viable project and financeable or we should abandon it. So far they have looked at a number of prospects that SFD identified and they had very strong correlations on some of those results. You have to have a number of them in order to create a viable enterprise. So it is in the process now and these people have international experience, both in running the company as CEOs or in the financial world. They raised hundreds of millions of dollars and so they understand at the end what it is going to -- what it will take to take this vertical concept to the next stage.
Raveel Afzaal : Okay. And just making sure, so if for example the first set of anomalies is not exactly as prospective as they would like, it is possible that this process, I mean because you have so much dataset that you have collected over Columbia, is it possible that this process could continue on until maybe the end of 2015 before you guys have a dataset or do you see a much shorter time period for this?
Greg Leavens: No, it is much shorter period. There is no issues here to get the datasets that are going to be significant enough to make the decision and as I mentioned the first one are very -- the first dataset proved out to be very encouraging, the results.
George Liszicasz: Multiple anomalies, in multiple areas. So it is a very diverse set of -- group of exploration prospects.
Raveel Afzaal : So, that’s good to hear. So are you guys paying them some amount for their work or are they just so excited about the data itself that they doing this for free?
George Liszicasz: At this time they are doing it for -- not free but they are doing it because they believe in the technology that it will prove itself out. So they will be paid by themselves so to speak, so what happens is that they will present their business plan to the board and the management and then the compensation is in there, in that package.
Raveel Afzaal : Okay, but right now you are not directly paying them any amount?
George Liszicasz: We are paying only expenses and things like that nature. We pay for the datasets and so on where they require because you have to get the data correct. Without the data they cannot evaluate the viability of the prospect. 
Greg Leavens: And there will be some amounts payable upon successful completion of the initial financings. So it's largely working on a deferred fee basis. 
Raveel Afzaal : Understood. And will it be possible for you guys to, I mean have you guys don’t need to give me a breakdown but between Bolivia, Pakistan and Mexico, could you give us the dollar value that you guys are targeting?
George Liszicasz: Significant, yeah, it's very significant. It could be much, much better than ever this company produced per year. 
Raveel Afzaal : Fantastic, that's great to hear. Thank you, gentlemen for taking my questions. 
George Liszicasz: Thank you so much. 
Operator: Thank you. Our next question is from [Jonathan Noland, Resource Reports] [ph]. Please go ahead. 
Unidentified Analyst:  Hi thanks, for taking my question. My question is for George. I'd like to ask what are the steps involved in the project approval stage in Bolivia.
George Liszicasz: There is a project approval stage there. Let's step back for one second. We have dealt first with the national company YPFB. And at the same time we have made presentations to the subsidiaries that we talked about. As we focused on the national company and the national company -- because we didn't want to diverted, the national company said we are going to do a technical review, internal technical review. Then we are going to evaluate the technology in an economic sense, whether we should use this technology and what are the benefits, financial benefits for us. And then when that is internally done then there will be a Board meeting. And once the Board approves it then it goes to the finance minister for signing. We have completed number one, number two and we are working on number three. In the meantime we were requested by the President of the national company to involve the subsidiaries in the evaluation and recommendation of this tool. And we have gone to Bolivia to do so. And now we are at the stage where we are getting closer to the contracting phase or period, phase is better, yeah phase. So we are very, very optimistic that this will continue and very shortly we will have some results from that. But that's the -- these are the steps that we have to take. 
Unidentified Analyst:  Okay, great. Thank you very much. 
George Liszicasz: Thank you. 
Operator: Thank you. [Operator Instructions]. For the moment there are no more questions in the queue. We have Stan Trilling again from Credit Suisse. Please go ahead.
Stan Trilling : Yeah a quick follow-up question for you, George. Can you tell us what the status of your development of the analogs for speeding up the analysis, the post -- gathering, the status of the analog development for the analysis of the data? 
George Liszicasz: I didn’t understand exactly what you're asking for. As you know we have hired a very specialized person to do that work. And he has a Master’s degree in pure mathematics and also in general relativity physics, but focused on general relativity. And he has been very successful in the past to develop algorithms for analyzing applying to the datasets that we have which is a very difficult task. We learned it the hard way. He's been progressing and he has the framework now. We just had a presentation by him about a week and half ago and everybody attended and it was a good presentation and we believe that he has now laid the ground work for the mathematical analysis of the signals to extract information that are relevant for identifying SFD anomalies and classifying them as well. So there has been progress made. We expect that he is going to have the first algorithm in March.
Stan Trilling : Okay, all right. So there is progress. And one last question, anything -- isn’t there some things happening in South America, somebody is going to be drilling one of your prospects?
George Liszicasz: Yes, actually in Argentina, it’s official now, PCR is going to drill a very important prospect that SFD has identified about two years ago and they finished the 3D seismic. So just to give you a very quick background on this there would a 4,000 square kilometer area. They had very sporadic seismic on this area, more seismic in the Northwest corner and very sporadic seismic everywhere else. The results of our SFD surveys that we identified the prospects in the Northwest corner and we identified another prospect in the Southeast corner. And they said we knew about the Northwest corner but the Southeast corner that prospect is not valid and the reason why it’s not valid because there is no base presence. And they base that on their seismic work that was done many years ago and unfortunately the seismic was shot over a fault line that was more horizontal in nature and when you shoot seismic over that kind of conditions; in that kind of conditions what happens is that the seismic energy gets dispersed. So they could not see anything below it. So the understanding was there is no basin there. There, lo and behold there is this huge number one asset deal anomaly. So the President of the company decided that he is going a shoot a $35 million seismic 3D over our number one prospect, instead of shooting it somewhere else in the northwest corner. When this was shot the seismic showed an enormous structural anomaly with four potential zones. So that’s the one that they are going to drill now and we are looking forward to that because we believe that it could be quite significant finding and validation, that’s correct. Thank you.
Stan Trilling : Thank you and wonder what program was that shot under for whose benefit?
George Liszicasz: Yes, just the company. The company owns the land. So PCR owns the land and they spent $35 million. I mean just to put it in perspective we survey the entire area for less than $2 million, the entire block. And they shot a $35 million program over a very specific area that we recommended. I mean this is going to come up now because Pakistan is doing the same thing, PEMEX is going the same thing. So all these new findings are going to surface and come into light and we are quite bullish on some of that in order they are going to be very successful.
Stan Trilling : Fabulous, thank you.
George Liszicasz: You are most welcome.
Operator: Thank you. Our next question is from David Ellis from Mackie Research Capital. Please go ahead.
David Ellis : Hi, George, a couple of questions. I follow CGX and I see they are in partnership with Pacific Rubiales in offshore Guyana. Have you done any work in that area first of all? And number two given recent developments in the oil industry with the price and what have you what are your -- I mean it’s not a surprise or mystery that a lot of firms will be cutting back expenditures depending on how long the price would stay where it is. Any of your thoughts on that would be also appreciated. Thank you very much.
George Liszicasz: You are most welcome, David. CGX is a good potential. They are looking at drilling offshore. They already shot their seismic. They have very limited amount of funds and they are basically focused on drilling their prospect. And so we do not have, even though the Pacific Rubiales owns the company we do not have any activities there with them. However remember that now most of the major companies, international and some of the NOCs as well are moving into the Gulf of Mexico. So NXT is being actively, I wouldn’t use the word contacted but actively searched out to discuss what kind of lines we have available onshore and offshore in Mexico and various investment banking firms are contacting us as well, that would like to invest in utilizing SFD in the Gulf of Mexico to secure new prospect areas. And that’s another vertical type of concept that we had and it had to do with land banking. So that’s the type of concept that they have in mind. But we are in contact with Pacific Rubiales and also other companies working in the Gulf of Mexico. Second question was the depressed oil price. As we all know exploration will never stop, as long as there is a demand for oil. So I don’t want to be -- I am not a guru on where the oil prices are going to go, but I do believe that this is temporary situation. Temporary can mean like several months to half a year or so, and regardless of the oil price SFD is the best tool out there to work in conjunction with seismic and allow the client to focus their exploration efforts only on areas that have fluid entrapment. No other tools, not FTG, not gravity, other gravitational tools, no other airborne tools can do that. So we believe that two things, NOCs that we focus on are going to continue to use SFD. We are going to even broaden that base now and we are going to enter more into the international companies programs because they are going to have the same squeeze and we offer them an alternative that is very, very difficult to refuse. And believe me that we will do everything we can from testing the tool, whatever they want to do, we will do it and if anybody is listening, I challenge any technologies out there on a one-on-one basis and we will prevail. So I believe that this company is now at the door of opportunities that is going to swing open and then with these three major undertakings that we have we are going to secure our future. And our value position is based on identifying the three criteria of the five major exploration criteria, which is migration. First is source, migration, trap, reservoir and seal. And only -- you cannot control source, you cannot control migration, seismic can tell you trap, identify trap. In very, very favorable conditions it can point to the presence of reservoir but not the seal. So nobody knows if the fluid is still there or not. But SFD only responds if there is fluid trapped, which means there is reservoir and a trapping mechanism that’s sealed. So nobody can do that in the world. So I think that one-by-one we are going to knock them over. And this technology will become a standard tool as, I hope as early as next couple of years.
Operator: Does that answer your question, David?
David Ellis : Thank you very much, yes.
Operator: Thank you. So our next question is from [David Hutches, CGG] [ph]. Please go ahead.
Unidentified Analyst: Sorry, you just said something basically that yours is so much superior then other gravity methods and yet both are measuring gravity. Can you explain why your gravity is different from other airborne gravity?
George Liszicasz: Absolutely, that’s my favorite topic. So I will try to do it so that everybody can get the first part and then you and I can talk about it later, if you wish. Current gravity meters, they are based on the measurement at a single point to obtain high accuracy. So they are single point measurement techniques. So you take a gravity meter or an FTG and you take a measurement at single points and then you create a gravitational profile and you want to have high accuracy why, because that’s what the industry wants you to have, so that if somebody else comes, can take the same measurement and come up with the same result. But the high accuracy comes at a price. The gravitational field, this tends to the minus 39 times weaker, the electrostatic field for example. So it’s an extremely weak field. So it requires a large mass in order to obtain high accuracy. The second problem is that when you set it into motion it is unable to follow the small variations in the gravitational field. SFD in contrast is based on a detection method. It detects the evolution of a pattern that is created not only by the magnitude of the field but also the wave attribute of the field, which is frequency phase shift and so on. So now you have a dynamic interaction with the gravitational field, which also means that you will become time dependent. So SFD detects and relies on the patterns and the pattern recognition to identify an anomaly not on a single point.
Unidentified Analyst: So are you saying you are detecting gravity waves?
George Liszicasz: No, I didn’t say that. Every geological setting will set up a gravitational field which is static. Think about it this way, you are driving a big truck; you are going on a gravel road, okay. You don’t feel the gravel road very much because you have a big truck. Then you go on to a smoother road which is a pavement, or paved road. Now think about it this way. I am using a bicycle and I am going on the gravel road. So I use a very small mass which has now the wave properties I can exploit from it. So it not the wave properties of the gravitational field, pure gravity itself but it’s the wave properties of the static gravitational field that you use as a topology change or the topographic change if you know what I am saying. 
Unidentified Analyst: Yes.
George Liszicasz: Okay, so I am relying on the small changes which if I have a large mass will not be able to follow. That’s the problem with the gravimeters.
Unidentified Analyst: Okay. But I have seen the inside of a Lacoste-Romberg meter. The mass is smaller than a pencil eraser. It’s not a large mass.
George Liszicasz: Well, that’s a different Lacoste gravity meter now.
Unidentified Analyst: That’s a standard Lacoste, or the inside of a FTG, it’s a very small accelerometer. It’s not large at all. So wave length is very short. I don’t understand why yours is even shorter when the wavelength of your anomaly is hundreds of meters to kilometers.
George Liszicasz: Yeah wavelengths of their anomalies. 
Unidentified Analyst:  Of the gravitational anomaly of anything? 
George Liszicasz: Yes, yes. So what I would propose to you is because you have about 45 people to 50. I don't know how many people are there, is that we could continue this conversation on a private setting rather than discussing it in this type of forum. And I can send you information and so on. Our masses are very smaller than anything that you just mentioned. 
Unidentified Analyst:  Okay. How small are they? 
George Liszicasz: Dravid, Or David…
Unidentified Analyst: David. 
George Liszicasz: This is an investor call, so if we make it a technical conversation, we better have a beer or something like that. I don't know where you are located but -- or just talk it over first on the phone and so on. Because otherwise, you and I can go at this for a long, long time because you know how it is, there is always another question. 
Unidentified Analyst:  Okay, well can I ask one, I originally intended to ask a little different. Do you have the name of the company, of the person who is developing your algorithm? Is that something that you can tell us? 
George Liszicasz: He's employed internally. 
Unidentified Analyst:  Okay. 
George Liszicasz: Yeah, so it's an internal development, yes. But I am more than happy. I mean don't think that I don't want to talk to you. I would love to talk to you and I want to talk to you. I just feel that this forum maybe not the best for discussing the technical aspects of the tool. 
Unidentified Analyst:  Okay, no, just trying to understand why it's different, but please -- I'm finished. 
George Liszicasz: Do you have my numbers and so on?
Unidentified Analyst:  I’m sure it’s on your website. 
George Liszicasz: Yeah, excellent. I want to talk to you. 
Unidentified Analyst:  We'll follow up later. 
George Liszicasz: And thank you very much. 
Operator: Thank you. And currently there are no more questions in the queue. [Operator Instructions]. Again there is still no more questions in the queue at this time. 
Unidentified Company Participant: Thank you operator. We will then conclude the call. 